Operator: Good afternoon or good morning, ladies and gentlemen, and welcome to today's Fiat Chrysler Automobiles' 2017 First Quarter Results Webcast and Conference Call. For your information, today's conference is being recorded. At this time, I would like to turn the call over to Joe Veltri, Head of FCA Global Investor Relations. Mr. Veltri, please go ahead, sir.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thank you, Sarah, and welcome to everyone who's joining us today. The presentation material we're about to go through for the webcast and conference call, along with our press release that was issued early today, are both posted on the Investors section of FCA's group website. Our call today is hosted by Sergio Marchionne, the group's Chief Executive Officer; and Richard Palmer, the group's Chief Financial Officer. After their introductory remarks, both of these gentlemen will be available to answer your questions. Before we begin, I'd like to remind you that any forward-looking statements that might be made during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included on page 2 of today's presentation and, as always, the call will be governed by this language. With that, I'm going to turn it over to Richard.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Thank you, Joe. So, good morning, good afternoon to everybody on the call. I'm going to start on page 3. I think we would couch the results for Q1 as a good start to 2017. We had a record performance from an income statement point of view with our adjusted EBIT margins for the group at 5.5%, up 30 basis points. That was driven by continued strong performance and positive year-over-year adjusted EBIT contributions across most of our operating segments, with the exception of Latin America. Our cash flows from operating activities are strong, €350 million, better than Q1 of 2016. And I'll take you through some of the drivers of the improved change in our net industrial debt, which was a significantly lower seasonal negative impact than last year. We reduced our gross debt by €2.9 billion from the year-end level and we also increased our revolving credit facility by €1.25 billion to €6.25 billion total and extended the maturity, the final maturity to 2022. So I think some good progress also on reducing our overall cost of carry on liquidity and substitution of some cash with increased revolver, which is obviously more – less costly. During the quarter, Moody's improved their outlook on our credit rating from stable to positive. We did complete a sale of a non-core asset being the remaining shares we held post-spinoff of CNHI for €144 million. And so given the Q1 results, income statement, and cash flow performance, we are confirming our 2017 guidance with net revenues between €115 billion and €120 billion, adjusted EBIT over €7 billion, adjusted net profit over €3 billion and our net industrial debt down to below €2.5 billion. I'll move on to page 4. We have an update on the launch process globally for two of our key new products. On the Alfa Romeo side, the Stelvio crossover was launched at the European Geneva International Auto Show. We're launching it in EMEA now in Q1. We will launch it in the NAFTA region in Q2 and then in Q3 in Asia Pacific. Shipments in the quarter were limited to about 3,000 units, but we have over 10,000 orders at the end of March. And the initial reaction in the marketplace and with the industry press and commentators has been very positive. This vehicle comes off the same platform, as you know, as the Alfa Romeo Giulia. The Compass is being launched globally. We're completing the global industrialization in all regions. It's being commercially launched now in NAFTA in Q1 and will be launched in Europe in Q2, having already been launched in Latin America and Asia Pacific. Q1 shipments of this vehicle worldwide were 32,000 units with 5,000 in EMEA – sorry, in NAFTA, and the remainder in Latin America and Asia Pacific. We also showed a concept vehicle at the SEMA Electronics Show in Las Vegas, the Chrysler Portal concept, which is the result of a collaboration with a number of supplier partners and is working towards looking at the interpretation of family transportation with next-generation autonomy and electrification. Moving to page 5, have a look at the financial summary. Our combined shipments were slightly up to 1.145 million units, driven by EMEA, up 11%, China with the GAC JV up 49% and Maserati up 89%, largely offset by a forecast reduction in NAFTA due to the product changeovers there, which we will talk about a little bit later. And our consolidated shipments as a result were just down 9,000 units. Net revenues were up 4%, which were impacted positively by exchange mainly on the translation of the U.S. dollar to euro and also by positive mix mainly in NAFTA and in EMEA. Our adjusted EBIT was up 11% to €1.535 billion. We had improvements in all segments, as I said, except for LATAM. And our margin was 5.5%, which is basically the same as the full year margin for 2016, notwithstanding that our Q1 seasonally isn't the best quarter of the year, and up from the Q4 2016 number of 5.2%. Adjusted net profit was up 27%, obviously driven by the improved operating performance, but also by reduced finance charges, down €76 million basically as a result of the reduction in our gross debt levels, which from a year-over-year average level were about €4 billion down. And so that reduced our finance charges by 15%. And then we had, obviously, taxes were up with the higher operating performance, but the rate was basically flat at about 39% for the quarter. Net industrial debt up to €5.1 billion from the €4.6 billion we closed 2016 at. The increase was driven by seasonal working capital, although the impact was reduced compared to Q1 2016. And the reduction – sorry, the increase in industrial debt was also impacted positively because of the non-repeat of negative FX translation we had last year. And our available liquidity was €21.6 billion at the end of March compared to €23.8 billion at the end of the year 2016. As I mentioned, we reduced our gross debt by €2.9 billion with the repayment of a Eurobond for €850 million in March, and the prepayment of the 2017 term loan B in the U.S. for €1.7 billion. As I mentioned before, the RCF was increased by €1 billion a quarter and that offset some of the cash reduction used for the pay down of the gross debt. Moving to page 6, we show the makeup of the 11% improvement in our adjusted EBIT. As I said, most – all segments contributed positively except for LATAM. And NAFTA margins were up slightly to 7.3%, a tenth up, and the region contributed positively despite shipments being down 6% due to the planned product changeovers. NAFTA was 81% of total adjusted EBIT in the quarter, down from 89% last year. And so, we saw significant improvements in EMEA where margins were up from 1.9% to 3.2% and Maserati where we reached double-digit margins for the third consecutive quarter. If we look at it below on the graphic underneath for operational drivers, you can see that we continue to have good contribution from mix and volume in EMEA and Maserati. We had slightly negative impacts on pricing. We'll look at that on the NAFTA page, substantially due to increased accruals for projected incentive rates from Q1. But we're actually seeing, as we look at the first read on actuals for April, that there is some encouraging signs on incentives coming down a little from the level they were at in Q1 in the U.S. Industrial costs were up due to increase in D&A, basically due to the launch of the Maserati Levante and the Alfa products, offsetting positive contributions from purchasing savings. And we had positive results from the JVs, particularly in China. Moving to page 7. We see the change in net industrial debt for the quarter, which was an increase of €0.5 billion, €1 billion lower than last year's increase and the improvement was driven by €353 million improvement in cash flow from operations net of CapEx. EBIT was up over €300 million with margins over 11%. Financial charges were down, as I mentioned, €76 million, and cash taxes were also down €90 million due to timing of U.S. payments in this year being in Q2 rather than Q1. So we will have a higher cash tax charge in Q2. On the other side, we did have lower dividends in Q1 than we had last year with some of the dividends from our JV on the financing side in Europe being delayed to Q2 and Q3 rather than Q1 last year. Working capital was better, basically due to a lower reduction in production in NAFTA compared to Q1 last year. In Q1 last year, we were down in Toluca for tooling for the new Compass. And we also took shop down (12:34) significantly as we started to reduce the Chrysler 200 production. This year, we do have Belvidere down, which is being prepared for the transfer of the Jeep Cherokee from Toledo North, but, net-net, there's a 30,000 less production reduction in Q1 in NAFTA compared to last year, and that basically accounts for most of the improvement in working capital compared to last year. These positive impacts are partially offset by a higher CapEx number for the quarter, which we believe is timing on a full year basis given that we are investing now heavily in the new Wrangler and in the new light-duty truck in NAFTA, both those products being launched the end of this year for the Wrangler and the beginning of next year for the light-duty truck. So some timing there, we still expect overall CapEx for the year to be around €9 billion. And lastly, two other effects beyond the operating cash flow were the non-repeat of negative FX that we had last year of about €0.5 billion due principally to the strengthening of the Brazilian real impacting our debt denominated in that currency. And we also have the positive impact of the sale of the CNHI stock this quarter. Moving to page 8, we can start to look at the segments, starting with NAFTA. So Q1 SAAR for the U.S. was 17.5 million units, and for Canada it was 2.1 million. Both in line with our full year forecast for the industries. FCA sales were down 44,000 units with U.S. fleet driving substantially all of the reduction. And the U.S. fleet was down to 26% of our Q1 sales, down from 31% in the prior year. The main nameplates which were down were Patriot and Compass as we basically exit those vehicles, which are being replaced by the new Compass being launched out of Toluca. And the Dart was also down, as we were coming out of that product last year. The minivan slightly down also in fleet, as we focus the new product into U.S. retail. As a result, U.S. share was down 90 basis points, but the retailer retail share was down just 15 basis points, which is basically 5,000 units in the quarter. FCA continued to be the market leader in Canada with a 15.1% share. And our Mexico sales were also up 11%, as we continue to focus on using some of our Brazilian-based product to improve our portfolio in the Mexican market. U.S. dealer inventories were substantially flat. We closed at 83 days at the end of the quarter. Our shipments were down 6%, as I mentioned, due to the transition basically of into the new Jeep Compass and the discontinuance of the Dodge Dart and the Chrysler 200. And as a result, our revenues would have been down about 4% at constant exchange, but there's a positive translation impact there basically making those flat year-over-year. So if we look at the adjusted EBIT walk below, you can see we improved margins from 7.2% last time to 7.3% this time, notwithstanding the reduced volumes. And if we look at volume and mix and net price together, clearly we are working on improving our mix, moving product into the U.S. retail channels from fleet, and that is more than offsetting the impact of the volume drop. And as I mentioned before, the net price impact is basically for about a third due to exchange impacts on the Canadian dollar and Mexican peso. And the rest is the accrual of higher incentives for stock in the U.S. But as I said, we're looking at April incentives starting to look a little more positive than we had forecasted as we close the books for the first quarter. In terms of costs, on the industrial side we had purchasing savings and lower warranty costs than last year, offsetting some higher product costs, principally on the Pacifica compared to its predecessor, minivans, but a net positive overall. And then in the last column you can see the effect of FX translation on the EBIT. Moving to page 9, Latin America. The Brazilian industry was basically flat for the quarter, while Argentina was up strongly at about 40%. Our sales overall were up 4,000 units with the same share loss – with some share loss in Brazil and in Argentina. We continue the launch of the new Jeep Compass, which helped Jeep to achieve a 24% share in the SUV segment in Brazil, which is a leadership position. Our inventories (18:34) down year-over-year and slightly up from Q4 as we continue to launch the new Compass. Net revenues were up 28% but heavily impacted by exchange translations, so up 5% at constant exchange. But we did have positive pricing and mix. And if you look at the walk across for adjusted EBIT below, our positive mix and pricing did not offset increased costs. The increase in costs was basically due to higher D&A for some of the new product launches and also negative exchange on some of our export product from Brazil, which we do expect to be offset to some extent going forward as we get the benefit of the stronger real for purchases coming out of Europe. So slightly negative in terms of performance for the quarter, but we expect to make money from Q2. Page 10, we have the APAC performance. The industry was down 6% driven by China down 12%, as you're aware due substantially to the engine tax increases, which were introduced from January on sub-1.6 liter vehicles. And that impacted January and February. In March, we started to see a flat year-over-year comparison, so we're seeing the market in China starting to recover from that pull-forward of demand into 2016. Combined Jeep sales were 51,000 units for us, up from 37,000 units last year. Our market share in China was up 30 basis points to 1.1%, but was slightly offset by Australia where we continue to see the impact of our pricing actions impacting negatively our share performance. Inventories overall were down, largely as we continue to transition to the local production and distribution and also as the sales rate increases. Net revenues were down 30% as a result of the reduction in import shipments impacting our consolidated numbers. And as you can see below in the adjusted EBIT walk, lower imported volumes impacted us by about €34 million, and those are all offset by lower costs as we transition to the JV. And the improvement of €24 million is basically driven by JV operating performance driving better equity pick up. Moving to page 11, EMEA, the passenger car industry was up 8% in the quarter with Italy up 12%. And all five main markets in EU28 being positive. The LCV industry was even stronger, up 12%. Our sales overall were up 13% driven by the new Tipo and the Talento and the start of Giulia. Our overall share on passenger car in the EU28+EFTA was 7.0%, up 30 basis points from last year. And our LCV share was basically flat at 10.8%. Inventories were up slightly year-over-year to 62 days, but they were down from the 70 days we had at year-end 2016. So no issues from an inventory point of view. Our shipments were down 12% and revenues were down consistent with that. And as you look at adjusted EBIT underneath, you can see volume of these new products that I mentioned continued to improve our overall profitability with higher industrial costs driven because of the D&A related to the new product launches and higher advertising, as we continue to commercialize these new products. Moving to Maserati on page 12. Another strong quarter for Maserati. Sales were up 75%. Shipments and revenues were up nearly 90%. Our adjusted EBIT improved to €107 million, with EBIT margins at 11.3%, up from 3.1% last year. And as I mentioned before, this is the third consecutive quarter of double-digit margins. The Levante continues to be very well accepted in all markets and we continue to push hard on this overall product portfolio. Page 13, Components. We had improved volumes compared to Q1 last year across all three businesses, particularly Marelli Lighting and Comau Systems. The adjusted EBIT margin was up 100 basis points to 4.7%. And so we're continuing to seeing improvements in our profitability in these component businesses. On page 14, the industry outlook, we are basically not changing our industry outlook from what we told you three months ago. U.S. SAAR in the first quarter was at 17.5 million and is consistent with our full year forecast. Brazilian industry was flat year-over-year, but we did see some pickup in average daily sales in the last 30 days. And so we're watching very closely the industry in Brazil. Asia Pacific, as I mentioned, China being down because of the pull-forward due to the tax changes, but March was flat year-over-year. And EMEA actually showing a positive growth in Q1 of 8% year-over-year, higher than we had forecast. But overall, we're not changing any of our outlooks today. And then we move to guidance for the year, which we're confirming. Our Q1 operating performance was in line with our expectations. I think we made some good progress on our gross debt reduction. We do have further maturities in 2017 which we will look to pay with cash on the balance sheet. As you may have figured out by now, our guidance is a little biased towards the second half of the year as we ramp up the all-new Compass globally, and continue the launch of the Giulia and the Stelvio. And then lastly, moving to page 20 just quickly to talk about the Q1 performance and how that fits into the sort of five key drivers of our plan for 2018. Obviously, the globalization of Jeep is the primary one. The sales in Asia Pacific were up 42%, in LATAM they were up 22%, and EMEA up 10%, so we're seeing good traction in all of the extra NAFTA markets. I mentioned before that we are the leader in the Brazilian SUV segment with 24% share. Our NAFTA sales were down, but basically driven by fleet and due to the transition of the old Compass and Patriot being finished, and the new Compass being launched. And so we are still confirming our more than 2 million-unit target for 2018. In luxury and premium, Levante continues to perform well. The Giulia and Stelvio, it's early but the initial reception in the markets has been very good. Our dealer network is continuing to improve in terms of number of dealers and quality. Our global sales target for 2017 for these two brands is around 230,000 units, and we feel that we're on target to reach that number. Volume growth overall – I think the key here going into 2018 is the completion of the realignment plan in NAFTA, and we will be launching the new – sorry – Cherokee transferred from Toledo North to Belvidere in the second quarter, then the new Wrangler in the fourth quarter, and the light-duty truck in Q1 of next year. So, all of those activities from an industrial point of view are on target. Margin expansion, notwithstanding the product changeovers that we talked earlier. I think across all of the regions we're seeing improvements, excluding LATAM. Obviously, LATAM continues to have a very tough market in Brazil but we are taking actions to make sure that the cost base is constant with the market trend and seeing some level of improvement in daily sales in the last 30 days. And on the balance sheet, I know I've been criticized in this room for not having taken down liquidity fast enough so we're on the way and we see improvement in our net financial charges this quarter and we will continue to work on that. So, I think, overall, progress on all of these items. And with that, I will turn the call back to Joe and we will take questions. Thank you.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thanks, Richard. Sarah, I think we will – you have people in the queue for Q&A, so we'll start that session, please.
Operator: Thank you. Ladies and gentlemen, today's question-and-answer session will be conducted electronically. We will take our first question today from Massimo Vecchio from Mediobanca. Please go ahead.
Massimo Vecchio - Mediobanca Banca di Credito Finanziario SpA: Good afternoon, everybody. Two questions from my side. The first one is on U.S. production capacity. What is the average that you will have in 2017 including the retooling and how does it compare to 2016? That's the first question. The second question is on the Stelvio launch in the U.S. I was curious to pick your brain on how does your launch plan differs from the one you have in Europe? Is the product different in somewhat obviously aside from the regulatory differences? And can you disclose a kind of sales target for the Stelvio?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: So, Massimo, in terms of capacity utilization in the U.S., I think overall, we're running flat out in our Jeep plants and in our Ram pickup plants. Clearly, we are impacted by the transition of the Cherokee into Belvidere, as I mentioned, and the Wrangler into Toledo North. But I think, overall, we have mentioned we're going to be down in volumes for the year but substantially driven by the discontinuance of the 200 and the Dart. So, all of the other products basically running at max capacity.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Sorry. And just to add insult to injury to the description. I think I'm on. We actually have a volume drop year-over-year in terms of production, which just to be clear that we have actually suffered roughly a 10% loss in volumes, over 8.5% to 9% volume 2016 to 2017 because of the loss of the Dart and because of the loss of the 200. But the shift has been margin accretive. And so once the full industrialization plan comes on, we will have a substantial positive impact on margins, notwithstanding the fact that overall volumes will be down if we use 2016 as a benchmark. Was that clear?
Massimo Vecchio - Mediobanca Banca di Credito Finanziario SpA: Yeah. Absolutely. Absolutely.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Let me deal with your Stelvio question in the U.S. Fundamentally, the launches are not different between Europe and the United States. As you said, I think there are regulatory differences in the vehicles, but obviously, the distribution network is a lot – is not as developed in the United States as it is in Europe, and I think that we need to be cognizant of the importance of brands, like, BMW in the U.S. market. And so, our target in terms of pricing and positioning is dead on BMW, which is not necessarily the case in Europe where I think that the ambit of coverage is a lot wider.
Massimo Vecchio - Mediobanca Banca di Credito Finanziario SpA: Okay. Is it fair to ask you break-even volumes for the Alfa brand? Or...
Sergio Marchionne - Fiat Chrysler Automobiles NV: It's not in the 230,000 number that Richard mentioned to you about as a combined number between Alfa and Maserati for 2017. We're still losing money at this level.
Massimo Vecchio - Mediobanca Banca di Credito Finanziario SpA: Okay.
Sergio Marchionne - Fiat Chrysler Automobiles NV: That was part of the plan. It was clearly understood that the work that was being done on Alfa was designed to deal with more than just Alfa in the medium- to long-term. And effectively all the Maserati and the Dodge developments hinge on a proper execution of the Alfa strategy. So give it time. I think by 2018 we'll see much better numbers.
Massimo Vecchio - Mediobanca Banca di Credito Finanziario SpA: All right. Thank you. Thank you very much.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Richard, the conservative over here, says he's going to make money in Q4 with Alfa. So I'm just going to shut up and wait for him to deliver the numbers. I think it sounds reasonable to me, but for the year we won't be.
Operator: Thank you. We will take our next question from John Murphy from Bank of America Merrill Lynch. Please go ahead.
John Murphy - Bank of America-Merrill Lynch: Good morning, and good afternoon, guys. Just a first question on the incentive comments you made about the accruals in the first quarter, which you think – may have been over-accruals. I'm just curious what you're seeing in the market because every comment we're hearing from the large dealers, the small dealers, and other OEMs is that the incentive environment is hot and potentially heating up a little bit, but you seem to be indicating it might be going in the other direction. So what are you seeing in the market that's different than everybody else?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Just a couple of comments, John. The first one is I think one of the issues that I had with Richard this morning when I looked over the pack that we presented to you this afternoon is that the level of granularity in presenting this data is something that I have not seen from any other OEM. And so we are obviously giving you a lot more data for you to – than our competitors. And I think that we need to be clear that we need to sort of restrict this, otherwise we're going to let you into our P&L in an incredibly detailed way, which in some fashion could be seen as an anti-competitive position. But the first, the broad comment about the way in which the quarter developed, we have seen – certainly, during the month of February and March, we have seen uneven performance from our competitors. What we booked at the end of March is an adjustment to our stock that reflects what we saw as being the required incentives in the market based on March data. And in March, the market was appeared to be a lot more competitive than it appears to be now in April. We have seen a slowdown in the incentive spend and so if that number had to be adjusted now for April data, it would be lower than the one that was booked in March. We need to work our way through the rest of the year. I think the comments that you're hearing back from the dealers are – the comments are correct. I think that the market is quite competitive as the shift away from cars to SUVs and pickups continues in the U.S. We keep on seeing incredible pressure on the car segment side. It doesn't hurt us very much because of the fact that we've exited position with both the Chrysler 200 and the Dodge Dart. But the competitive intensity is increasing. And so, we have seen some of our competitors take down capacity for the next 10 weeks to try and adjust volumes. We have seen excessive levels of inventory at dealers with some of our competitors which I think need to be worked off. We're watching those numbers like a hawk. As you can – you want to imagine, I think we're managing the number of days inventories on the lots very, very carefully. We're not in a position now, I think, to be concerned and that is the reason why we have confirmed guidance for 2017. I think the market will continue to be competitive; nothing disastrous. And I think we've all collectively developed enough sense now not to try and cause a repetition of the problem that we saw in 2007, 2008, and 2009. But I think we're very far away from indiscriminate pricing. I think that we have seen knee-jerk reactions to volume ambitions; I think those are being corrected as we speak. I think I expect to see Q2 and the rest of the year in a much more benign fashion than I've seen in Q1.
John Murphy - Bank of America-Merrill Lynch: That's very helpful. Then just a second question. Obviously, the 7% margins are not what you're shooting for. I'm just curious, as you look at this full shift over from cars to crossovers and all your plans, which obviously won't be finished by this year, but as we get into 2018 and 2019, it will. Do you think you can reach the margins that we're seeing at GM and Ford right now, specifically 10%-plus, or potentially even a lot higher?
Sergio Marchionne - Fiat Chrysler Automobiles NV: No, I think if we got to best-in-class North American margins, I'd be happy.
John Murphy - Bank of America-Merrill Lynch: Okay. And then just one other question on asset sales. I mean, the CNH share sale was something we weren't expecting and we probably should have been looking at in a little bit more detail. Are there any other assets other than this constant discussion around the Components business that could potentially be sold outside of the Components business? Any small assets or even large assets that we're not thinking of?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I am not the proud owner of any small assets for disposal, but I'm intrigued by the question. You think that – why are you so intrigued by this? I mean I read some of the comments that you made in your early note. Is it because of the fact that you don't think we can get to the cash position without selling stuff?
John Murphy - Bank of America-Merrill Lynch: Well, I mean I think it would be helpful, right? So I think...
Sergio Marchionne - Fiat Chrysler Automobiles NV: There's not a single doubt that the more cash I get in, the better I'll feel. I think that the target that we set, John, was for – was it €4.5 billion to €5 billion in cash by 2018? Without sort of – bizarre sort of interventions. No assets sales, no disposition of Components. If there is a disposal of Components, it will be accretive to that position that was stated anyway. And I think the real issue for us, which as we – the more quarters we peel away between now and December of 2018, the clearer we will have our views on the strategic flexibility associated with Components. And there's a point in time between now and the end of 2018 when I think we'll be able to make a call about what the proper ownership of that asset is. And it may very well be that it's not within FCA, but it doesn't mean that there will be a trade sale to get that done. So we have had a history in our past of distributing assets with shareholders. We've done this with the industrial side, we've done this with Ferrari, which have created substantial value opportunities for our shareholders. I think we need to stay cool and calm here as we work our way through the next five quarters. I think by the end of June next year, we'll be in a much better position to make the call, without ever changing the €5 billion target that we've got in mind for the end of 2018.
John Murphy - Bank of America-Merrill Lynch: Okay. Got it. And then just lastly, I mean on the Portal that you showed at CES, I mean you guys just mentioned on the call that you were going to be collaborating – or you're collaborating with a lot of suppliers on that. Is that something similar to like what GM did with LG Chem that you're thinking, where you might be able to get something out there in the market in the next one to two years with a lot of help from an electric or battery supplier? I'm just curious where you're going with that? And if you think that's the way you should go as far as developing a connected EV?
Sergio Marchionne - Fiat Chrysler Automobiles NV: The answer is yes. I mean obviously to the extent that we can lean and lever on both knowledge and expertise of our suppliers, we would do this. Like, I mean I just finished reading the press on the way over this morning to London, and just saw the last declaration out of somebody who's in the mobility saying that we're going to be having flying taxis within the next three years. I mean that's all right. But I think that I'm not on the page to try and sort of define a future, but between now and the next three years, I think we need to provide viable solutions to take people around. I was very encouraged by what Waymo is now doing in Phoenix by providing – by allowing consumers to try and effectively experience this mobility service from Google. This is the kind of exploration that needs to go on. There's going to be no ready-made solution in the next three years that will effectively exhaust all possible optionalities in this. So we need to play. And the more we can play, the better we're going to feel at the end of the day. I made reference in another context about the fact that we're working on extending our technology reach through other avenues other than Google in terms of autonomous driving. We need to do this because I think banking all of our solutions on one possible outcome is going to be disastrous. So we need to continue to do this. And that's not to take away from Google, and I think I appreciate everything that we – and we continue to work with them in a very intense way to move the agenda forward. But we need to look at optionality in more than one dimension. And I think that's really the challenge for us over the next couple of years.
John Murphy - Bank of America-Merrill Lynch: But just to press you on this just a little bit. I mean could something like the Portal be out from Fiat Chrysler in the next year or two years in conjunction with a partnership with an LG Chem type of company?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yes.
John Murphy - Bank of America-Merrill Lynch: Okay. Very helpful. Thank you.
Operator: We will take our next question from George Galliers from Evercore ISI. Please go ahead.
George Galliers - Evercore ISI: Yeah. Good morning or good afternoon. First question I had was just on Maserati. Clearly a very strong performance, but the margin is still short of your 15% target for next year. The question I had is, can you get closer to the 15% with your existing product lineup? And should we expect further progression through 2017? And also what will drive this? Is it leverage on higher volumes, product mix, market mix, pricing, or other factors?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I think we're done on pricing on Maserati. I'm not sure there's much to be extracted. I think it is really penetration of the markets. We're beginning quite an intense distribution process across the globe. You've seen from the numbers in Q1 that they don't reflect the full year capacity in Maserati. I think we're targeting about 60,000 cars for 2017. And as you well know, operating leverage in this business is huge and so margin accretion is simply due to volume growth. And it's due to the fact that I think the distribution will widen as we get better. We just launched now effectively into the U.S. in an effective way with the Levante. There's a couple of model year changes that are coming through for both the Quattroporte and the Ghibli, so we were able to extend the GranTurismo and the GranCabrio for an additional year. And the GranCabrio will extend beyond 2018, too. So I think we feel better about the product portfolio. We continue to work on its renewal, and this ties back into the discussion that we've had about Alfa earlier. This is crucial in terms of the next phase for Maserati. I think having done the Giulia and Stelvio, I think we're going to be in a much better position to move that brand forward.
George Galliers - Evercore ISI: Okay. And then I also had a sort of similar question around Components. Your 2018 target is a 6% margin but you just did 4.7% in Q1, which seasonally appears to have weaker margins. Do you think it's possible to get to that 6% target a year early?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yes. Under this leadership, yes. I think Pietro has done a tremendous job of running the business. And I expect him to do much, much better as we move on to the end of 2017.
George Galliers - Evercore ISI: Okay. Thank you.
Operator: We will take our next question from Rod Lache from Deutsche Bank. Please go ahead.
Rod Lache - Deutsche Bank Securities, Inc.: Hi, everybody. I had a few questions. Just first a point of clarification. Do you still expect improvement in LATAM in 2017 with the Toro, Renegade, and Compass ramp? Or are you moderating expectations there?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yes – no, no, I think our views on that are unchanged. I think that one of the things you need to realize, Rod, is that this – we have reacted – I think we have carried out some realignment of our cost position in Latin America perhaps a bit late, because we were expecting the market to rebound. The rebound that's come, it's of a lesser intensity than what we expected. So we've had to move or readjust our cost position. So I think you'll see much better numbers as we work our way through the rest of 2017.
Rod Lache - Deutsche Bank Securities, Inc.: Okay. Great. And in NAFTA, it sounds like you're seeing some encouraging signs vis-à-vis pricing recently. How much of a concern is the deterioration in used prices that we're seeing in the market? And there's been a slight tightening in auto credit as well. How do you see that playing out?
Sergio Marchionne - Fiat Chrysler Automobiles NV: We don't have our own FinCo, okay? So the question about residual values, especially on an exposed financing position is relatively limited. We do have some exposure in terms of sharing of risk with our FinCo provider, but we need to go through a substantial layer of deterioration or residual values before it impacts us. The first stake is on them and then we share the next chunk. But we're not worried, necessarily, about this and certainly – well, we're not worried. It's not a big area of concern today and we have not seen the tightening of credit around cars that significantly impacted volumes or ability to transact with the customer base. But if the two things – if we continue to shove sort of cars through the distribution network that will eventually – it will eventually impact on residual car values and in a significant way. And we have not seen that impact our business today, but we are watching it and I think we will be the first ones to recognize the signs of that encroachment on value. We have not seen a real negative impact on pricing because of this, I think, which is really the indication of damage. But I understand other people may have had a different experience because of the fact that they own FinCos.
Rod Lache - Deutsche Bank Securities, Inc.: Yeah.
Sergio Marchionne - Fiat Chrysler Automobiles NV: And that has different implications than it does for us.
Rod Lache - Deutsche Bank Securities, Inc.: Yeah. And just lastly, just questions on regulatory compliance. Is there any update on your discussions with EPA on the AECD issue? And in Europe – yeah, go ahead.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Well, just I'll give you an update on both sides. I think we continue to work with both CARB, with the California Air Resource Board, and with the EPA on effectively getting the 2017 certifications out of the way. It's a process that's been going on now for a number of months. We have found a very collaborative spirit on the part of the regulators to try and get us through the hurdles. We keep on providing data and adjusting our submissions to reflect their concerns. I'm hopeful that somehow in the next few weeks we should be able to resolve the issue, but obviously, the decision is not ours. It's up to them to agree or not to agree. On the European side, I think we have done all we can. I think we have gone back into – we've gone, like, back into Europe and we keep on hearing, obviously, some – not necessarily coordinated, but some attempts at intervention by the national authorities. And I go back to what I stated before on these calls and I keep on repeating it that this issue of jurisdiction in terms of certification and homologation sits with the homologating country, and it's something that only has limited recourse outside of that environment. I think we've exhausted the avenue through the Commission. We have had the dialogue. I think that issue has been put to bed. I've seen that a number of press reports have incorrectly classified ours as being a recall to comply with European requirements. It was not a recall. I mean, we voluntarily updated our software mapping way earlier than anybody expected in the beginning of 2016. Hopefully, this thing will die down as the new rules come into play, as we get RDE, and the rest of the new regulatory environment in place. Then we get conformity factors to start appealing to the regulators. But I really invite everybody across all the national bodies to let this thing go, and let the new regulations, and allow the industry to focus on a new set of regulations. Whatever has been done, has been done, there is not much that can be done to rectify past practices, which at least by our calculations were fully compliant with the existing regulations. So, I'm...
Rod Lache - Deutsche Bank Securities, Inc.: If you could just clarify one thing on Europe, just broadly aside from what's happening from these regulatory authorities, there's been a broader decline in diesel demand within Europe. And is that having any impact on your compliance strategy or spending plans going forward?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Well, Rod, there's not a single doubt that the cost of compliance with the diesel emission limits on smaller segments, whether A and B segments, is going to make diesel absolutely cost prohibitive for anybody who is in the market. And to the extent that we are active with repondos (50:48), the Fiat 500s and so on in that segment, we need to be very, very careful that we don't think we can continue to rely on our 1.3 liter diesel as providing a solution. It will be way too expensive. And so obviously, it's changed – it has changed our compliance strategy because we are going to have to rely on a combination of gas and something else, which is a mild form of electrification to get us over the hump.
Rod Lache - Deutsche Bank Securities, Inc.: Great. Thank you.
Operator: We will take our next question from Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi - Equita SIM SpA: Thank you. Good morning, good afternoon, everybody. I'd like to follow up on LATAM activity. Thinking about the divisional performance, I don't know if you agree, it seems to be the most difficult, the most challenging division target for – to be achieved in 2018. So what's the full-year 2017 performance, which would provide you enough visibility to achieve the 7% adjusted EBIT target in 2018?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Well I think, Martino, we're obviously – we're managing the target on the full portfolio, that you're right, as the market stands today, the LATAM target looks pretty tough. I think we are pleased with the performance of Jeep in Latin America and the impact it's having on our mix. We are working to continue to have an appropriate cost level for the level of the market today, and I think as compared to competition we've been performing well, notwithstanding that we've been around break-even for the last few quarters. Going forward, I think the key for us is to position well, Jeep, which we're doing, maintain our position in the pickup segments with Strada and with the new pickup out of Pernambuco, and be ready for when the market starts to give some indications of improvement. As I said earlier, we've seen some year-over-year improvements in annual sales – daily sales, sorry, in the last 30 days. And so I think there is some improved confidence. Interest rates have come down. I think consumers are more active, and so we'll continue to manage the business towards the best performance we can get to. We don't need to get LATAM to the levels that we wrote down to get to the business plan overall, because I think on the other side, as we just talked about, components are doing – are performing strongly, EMEA is performing strongly with a market that is performing better than our original forecast, and the North America plan is underway with strong performance expected in 2018 from the new Wrangler, the new light-duty Ram, et cetera, and margins getting up to where our competition is. So I think plus the luxury and premium brands, we obviously built some level of overall contingency into our plan so that we could manage one of the operating segments underperforming, and at the moment the most likely candidate is Latin America, not that we're giving up there, but I think overall, we're still confident of getting to our 2018 targets.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Just to make sure that whoever's listening to the call, and including people down in Latin America, there's absolutely no intention of giving up on the 7%target for 2018. I mean the reason why we invested in Pernambuco was to effectively allow that business to field roughly 250,000 cars out of 750,000 in Latin America, or at least out of the Brazilian operations, and margins, which were substantially higher than the historical run rate that we were getting out of Fiat as a brand. And that process has begun to deliver. We're only running slight – in excess of 100,000 cars now out of that plant. So we're about 40% of the way there. And I think we need to see the full deployment of the production capacity in Pernambuco before we call it a day in terms of margins. So I think 7% is still doable, but I also agree with Richard that when the plant was put together, there were enough bumpers that were put around the numbers to make sure that in case we caught a cold in a particular jurisdiction, we'd be able to offset it. So the number is within reach, one way or the other, for the group.
Martino De Ambroggi - Equita SIM SpA: Okay. Thank you. The follow-up on pricing. It's clear that in NAFTA you're expected to improve starting from the second quarter, but as far as group in concerned, it was €92 million negative in Q1. Should we expect another negative quarter in Q2? And what is the implicit implied pricing effect you have in your mind for the full-year guidance?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Well, the negative impact on Q1 was all due to NAFTA, so I think we've discussed that in quite a lot of detail already. I don't – I think our price assumptions into for the year are that we're going to have relatively stable environment in the U.S. and also in EMEA. I think, overall, we've been also quite successful in the last 18 months, 24 months at managing mix positively to offset any price deterioration that we've seen, but I think overall, we're not expecting any significant price deterioration in 2017. We are pricing positively in Latin America in an attempt to offset the inflation on the cost side. We weren't successful in Q1, although we did have positive pricing, and I think also that will continue to be a part of their operating mechanism down there to try and offset the cost pressure. I think we're running the business clearly to hit the margin targets that we've been talking about overall. So we've been pricing – taking pricing in Canada, taking pricing in Mexico, taking pricing in Australia where we've seen negative FX impacts that we're trying to offset. That's had some impact on volumes, but is allowing us to maintain strong margin performance. So, I don't think we're going to see heavy negative impacts on pricing in the rest of the year and that isn't expected in our forecast. I think we're looking at a relatively stable environment.
Martino De Ambroggi - Equita SIM SpA: Okay. Thank you.
Operator: We will take our next question from Adam Jonas from Morgan Stanley.
Adam Michael Jonas - Morgan Stanley & Co. LLC: Hi, everyone. Sergio, Jeep and Ram, are these businesses large enough, let's say together or separately, but large enough, strong enough, independent enough to exist as a standalone entity outside of FCA, like Ferrari?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yes.
Adam Michael Jonas - Morgan Stanley & Co. LLC: Okay. Next question. Waymo, it seems like John Krafcik went around the world to talk to all auto companies. I remember it was a year ago or so they went to Japan and talked all the J3 about working with them and developing autonomous car with them. Win, win, and everybody kind of said some polite form of no, or go away, except you. And I'm kind of having flashbacks from Chrysler when the Obama administration, the hand-over there tried to – went around the world and it was Steve Rattner and said, who wants Chrysler? And everybody said, no, except you. So I'm kind of like when the world says no, Sergio says yes. So, like what is it about you? Like why are you the only one? And can you confirm whether you gave them full access to the vehicle data? Thanks.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Because when I think it's capable – what I think Waymo is capable of doing is leaning on all the work that Google has done on AI. And if there's a point in time in the next couple of years when all the knowhow and the development work that's gone on inside Google is made available to Waymo to govern the way in which autonomous driving is provided to consumers, I think they're going to be substantially ahead of anybody else that's out there. That's the bet that we've taken and I think that – I firmly believe that the depth of knowledge within Google is so high that if even just a small portion of what it has within the traditional Google environment were to be made available and operational within Waymo, they would have an unbeatable solution. And I think we're banking on that level of collaboration happening within the next few months. That's why.
Adam Michael Jonas - Morgan Stanley & Co. LLC: I guess another discussion could be why you're the only one. But can I ask one more on China?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I don't know. It's the same reason why people build baseball fields. Maybe they'll come.
Adam Michael Jonas - Morgan Stanley & Co. LLC: Let me ask one quick one on China. My understanding is that businesses like Google and Facebook are basically illegal in China due to data and privacy concerns, okay? Now, from an auto perspective, today's cars are sort of unconnected and dumb, but as they become smart in data-capturing, kind of like what you alluded to with Google-y cars, right, and they HD map and they do make decisions, is it possible that the role of foreign auto companies in China could be really limited due to the more serious issues of privacy and national security, a la Google-Facebook? Like do you think U.S. firms seriously have a role in this kind of auto 2.0 AI-driven Chinese mobility future?
Sergio Marchionne - Fiat Chrysler Automobiles NV: I think we do. The topic that you raise is sufficiently sensitive for me to play stupid because I mean, obviously, there's a whole pile of implications associated with the answer one way or the other. I can only tell you that there are equivalents in the Chinese market, Baidu for one, that can actually – wants to substitute the Googles of the world in that market. And I think we're open enough to be able to collaborate with them. We have good contacts with them anyway. But I think – again, this is one of those other discussions that need to be explored. We need to take the discussion further than we've taken it so far. But I would not say that American car makers are excluded from playing. I think they'll have to. They're too significant to the Chinese market to be excluded.
Adam Michael Jonas - Morgan Stanley & Co. LLC: Thank you, everybody.
Operator: We will take our next question from Thomas Besson from Kepler Cheuvreux. Please go ahead.
Thomas Besson - Kepler Cheuvreux SA: Thank you very much. I have a few very simple question to start, please. Could you give us your working assumptions in terms of getting to your 2017 targets for working capital in-flows, please and for net financial charges?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: For net financial charges, we're looking at run rate being similar to what you saw in Q1. So we'll be around €1.7 billion for the full year, a little above that.
Thomas Besson - Kepler Cheuvreux SA: A little above or below? A little above that, right?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: So we're at 4 – I think €436 million for Q1. So four times that number...
Thomas Besson - Kepler Cheuvreux SA: Okay.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: ...is a good proxy for the full year. And on working capital assumptions, I think we're going to be working capital positive for the full year. We have seen in Q1 a good performance on working capital compared to last year. And I think with EMEA growing and the – some of the key aspects of the U.S. reorganization of the production facilities getting completed, I think we'll be slightly positive in terms of working capital on cash for the year.
Thomas Besson - Kepler Cheuvreux SA: Okay. Thank you. To cover for the LATAM challenge, you've mentioned EMEA as being one of the areas where you have some higher potential. Could you put a number there once you have full production of the Alfa products and you're ramping that up? If we assume that the European market remains relatively dynamic with a positive geographic mix for you, and that specific product ramp-up and volume growth, could you get to 5%, 6% margin in EMEA or is it too ambitious?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Well, I think some of our competition are there already. So I think that would be a reasonable target.
Thomas Besson - Kepler Cheuvreux SA: Great. I have a last quick one. Maybe completely stupid again, I'm sorry. Your revenue by car declined in EMEA in Q1. Can you explain that please, because mix looked positive and I'm not sure I understand that?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Think some exchange effects on the UK, on Brexit, and basically some lower non-car based sales in the revenue line, but nothing significant, frankly.
Thomas Besson - Kepler Cheuvreux SA: Great. Thank you very much.
Operator: We will take our next question from Patrick Hummel from UBS. Please go ahead.
Patrick Hummel - UBS AG: Thanks. Good morning, good afternoon. Two questions remain on my side. The first one regarding Maserati. You rightly pointed out the strong momentum you had for the brand year-over-year, yet the margin was a bit weaker on a sequential basis. I was wondering if that's a pure seasonality effect that we saw there in the first quarter? Or whether there has been some pricing/incentive action for the Levante or for the sedans maybe?
Sergio Marchionne - Fiat Chrysler Automobiles NV: No. I think it's launch cost associated with globalizing Levante. I mean it's a brand new car, so...
Patrick Hummel - UBS AG: All right. Okay. And my second question, a month ago, Mr. Müller from Volkswagen was asked whether he spoke with you recently about potential combinations, et cetera.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Whatever he told you, I have not spoken to him.
Patrick Hummel - UBS AG: Right. That was my question, basically. You have reached out in the meantime?
Sergio Marchionne - Fiat Chrysler Automobiles NV: No, I have not.
Patrick Hummel - UBS AG: Or you're planning to speak to him? Because he's clearly – he wasn't very clear in his answer, and he seemed to be sort of interested to have a conversation.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Well, maybe we will have one. But right now, I've just been busy delivering the best quarter in our history. So I think if I had to make a choice between delivering these numbers or talking to Matthias, I'll deliver these numbers any day.
Patrick Hummel - UBS AG: All right. Thank you.
Operator: We will take our next question now from Lello della Ragione from Intermonte. Please go ahead.
Lello della Ragione - Intermonte Sim SpA: Hi. Thank you. I have two questions left actually. Looking again on the EBIT walk of the NAFTA region, you already explained what's your view on net price and the evolution in the coming quarter. If we said focus on the industrial cost side, meaning where you're reporting purchasing savings (67:23) and warranty costs lower this quarter, I mean if we have to look at that packet of the bridge going into the second quarter or the remainder of the year, how should we look at it? Meaning, should we see some impact from the production realignment there? Or there are some other elements impacting the line?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: No. I think we need to continue to offset any negative impacts of the launch costs with the actions we're taking on purchasing and manufacturing efficiencies. So that line needs to be zero to positive for the year.
Lello della Ragione - Intermonte Sim SpA: So plus and minus are going to net each other, correct?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Yes.
Lello della Ragione - Intermonte Sim SpA: Okay. You already made the comment on total working capital for the year. Whilst in terms of seasonality effect, I mean the 770 bps you reported this quarter was clearly above any expectation, given the share reaction today. I was wondering if we can model some improvement on that side, given the fact that you mentioned on the production in the U.S., even for the coming quarter, considering also the seasonality that you should have like a second and fourth quarter positive, but assuming that you are making movement of this size.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: We normally have a negative working capital in Q1, positive in Q2, negative in Q3, positive in Q4. That pattern I think will clearly repeat itself. The first quarter performance was stronger because of the product change-over items that I mentioned that are a little unusual compared to our normal seasonality. And those negatively impacted last year and so we recovered some of that this year. So I wouldn't expect our working capital performance to be different this year. I think probably Q2 won't be as strong as Q1 last year because we're not having the same negative impact in Q1 to recover from, but overall, like I said, same type of seasonality we've had in prior years.
Lello della Ragione - Intermonte Sim SpA: But mainly to (69:44) the point is that the great improvement on that side was mostly related to this quarter, and you're not going to repeat the same magnitude of different...
Richard Keith Palmer - Fiat Chrysler Automobiles NV: I think – I don't want to just focus on working capital. I think the cash flow performance was driven by improved EBITDA, lower financial charges, and volumes being up in Europe, which helped working capital, which we expect to continue. So I think we expect Q2 to be a strong cash flow-generative quarter. And obviously, there'll be some negative working capital seasonality in Q3 as we have a model year changeover and shutdown. But I think Q2 will be a strong positive quarter for changing the industrial there.
Lello della Ragione - Intermonte Sim SpA: Okay. Just lastly on D&A. Sales were again higher this quarter if we use the variation on sales, I know it's a simplification, but the easiest (70:39) way to look at it. Is it fair to assume that 5.5% for the remainder of the year, meaning on full year just to model it properly?
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Yeah, I think Q1 is a pretty good indication of the full year level of D&A because we've launched Stelvio, Giulia and Levante for the full year.
Sergio Marchionne - Fiat Chrysler Automobiles NV: The Wrangler will be in.
Richard Keith Palmer - Fiat Chrysler Automobiles NV: Wrangler will impact Q4, yes, true.
Lello della Ragione - Intermonte Sim SpA: Okay.
Sergio Marchionne - Fiat Chrysler Automobiles NV: Broadly in line with Q1. We're going to take one more call.
Operator: Our final question comes from Dominic O'Brien from Exane. Please go ahead.
Dominic O'Brien - Exane Ltd.: Hi. Thank you for taking my questions. The first question is on the 2018 targets in NAFTA. What have you assumed in the plan for the pricing and mix contribution on SUVs and pickups and has this changed at all in recent months, given the residual value weakness, albeit so far confined to sedans? That's my first question.
Sergio Marchionne - Fiat Chrysler Automobiles NV: No, we haven't changed because I think the numbers that we built into the plan for 2018 were more pessimistic than what we're seeing today in the market.
Dominic O'Brien - Exane Ltd.: Okay. So you do plan for a decline in the mix contribution from SUVs and pickups?
Sergio Marchionne - Fiat Chrysler Automobiles NV: Yes.
Dominic O'Brien - Exane Ltd.: Thank you. And then secondly, just specifically on your capacity realignment plans, when production of the new light duty Ram and Jeep Wrangler starts in new plants next year, what happens to the current production sites, the supply park in Warren in 2018? Do those plants go on producing old models or is there going to be some idle periods throughout 2018 on those? Thank you.
Sergio Marchionne - Fiat Chrysler Automobiles NV: I think that we're looking at – well, to begin with, as you well know, one of those sites, certainly the Warren plant, will be needed to produce one of the – one if not both of the Wagoneer and Grand Wagoneer that are coming on the (72:36). So the plant is not going to go idle in the medium to long term. The question that you asked about whether we're going to continue production on the old models for any – for long period of time is unclear to me. I think we're looking at this right now. I think the launch sequence of the new Ram 1500 is a very complicated product in terms of actual composition of models. It will take us a good 12 months to 18 months to roll out the full range of products that are encompassed by the 1500 nameplate. And I think the likelihood of us being able to extinguish the old Ram 1500 while that rollout happens is relatively small. So we're playing the what-ifs right now. I think there's a better than 50% chance that Warren will run for some period of time, if not the whole of 2018 making the old model. But it's only to supplement the new one until the full rollout happens.
Dominic O'Brien - Exane Ltd.: Okay. Thank you. And the same with the Wrangler, can that continue throughout 2018 as the old model...?
Sergio Marchionne - Fiat Chrysler Automobiles NV: We've got to be very – that's a different story, because I think the Wrangler will come – it undoubtedly will have extended production in some of its versions, but it's a lot easier for us to replace the Wrangler in its totality with the new installation than it is to replace the old 1500 with the new. Declining various versions of the two nameplates, Wrangler and 1500, is a lot easier to do it on the Wrangler than it is to do on the 1500. So I would expect it, and I think that's what's built into our plan. It's certainly within the first half of 2018, we will be decommissioning the old Wrangler and we'll begin work on the introduction of the pickup truck, which is coming up next.
Dominic O'Brien - Exane Ltd.: Thank you very much.
Operator: That will conclude the question-and-answer session. I would now like to turn the call back over to Joe Veltri for any additional or closing remarks.
Joseph Veltri - Fiat Chrysler Automobiles NV: Thank you, Sarah. I think with that, we'll just close today's call. Again, thank you all for joining us and have a pleasant day.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.